Operator: Good day, ladies and gentlemen, and welcome to the Autodesk Third Quarter Fiscal 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the conference over to David Gennarelli, Senior Director of Investor Relations. Please go ahead.
David Gennarelli: Thanks, operator. Good afternoon. Thank you for joining our conference call to discuss the results of our third quarter of fiscal '17. Also on the line is Carl Bass, our CEO; and Scott Herren, our CFO. Today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investor. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments and we will not repeat them on this call. During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the Company such as our guidance for the fourth quarter and full-year fiscal 2017, our long-term financial model guidance, the factors we use to estimate our guidance including currency headwinds, our transition to new business models, our customer value, cost structure, our market opportunities and strategies and trends for various products, geographies and industries. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time to time with the SEC, specifically our Form 10-K for the fiscal year 2016, our Form 10-Q for the period ending April 30, and July 31, 2016, and our current reports on Form 8-K, including the Form 8-K filed with today's press release and prepared remarks. Those documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call are made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but will not provide further guidance or updates on our performance during the quarter unless we do so in a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of our GAAP and non-GAAP results is provided in today's press release, prepared remarks, and on the Investor Relations section of our website. We will quote a number of numeric or growth changes as we discuss our financial performance, and unless otherwise noted, each such reference represents a year-on-year comparison. And now, I'd like to turn the call over to Carl.
Carl Bass: Thanks Dave. We're really pleased with our third quarter results. Q3 marks a significant milestone in our transition. It's the first quarter where we only sold subscriptions and were off to a great start. New model subscriptions grew by 168,000. New model ARR grew 91% at constant currency, and recurring revenue jumped to 76% of total revenue. More generally, we made progress on our two major initiatives growing lifetime customer value by moving customers to the subscription model, and increasing adoption of our cloud based solutions. Given that this quarter was the most uncertain when we started the year, these are fantastic results. So let's look at the details. For the quarter, we added 134,000 net subscriptions. New model subscription additions more than tripled year-over-year to 168,000, while the maintenance subscriptions declined as expected by 34,000 during the quarter. Product subscriptions drove the vast majority of the new models of additions. The launch of industry collections, the next generation of suites that include many of our cloud services contributed to our strong growth this quarter. Collections are a great example of how we’re simplifying our offerings while increasing lifetime customer value. During the quarter, we ran another promotion aimed at converting our legacy, non-subscriber base to new product subscriptions. Like the promotion in Q1, legacy non-subscribers were offered product subscriptions at a discount when trading in their old perpetual licenses. The Q3 promotion added approximately 43,000 product subscriptions, significantly more than in Q1. In addition the overall average selling price was twice as high as the Q1 promotion due to a lower discount and the fact that customers favored higher price products. And lastly, more than 50% of the subscribers tuned in licenses that were seven years back or older. This reinforces our view that there are meaningful number of active users whose licenses are more than five years old and are interested in moving to the latest software. While the promo successfully migrated many legacy customers to our subscription model, product subscriptions continued to attract a significant number of users that are new to Autodesk. Once again, new customers represented about a third of our new product subscriptions for the quarter. We believe some of these people were previously pirating the software and now have a much more affordable option with product subscriptions. This is consistent with the fact that emerging countries are some of the fastest growing areas for products subscriptions. In other cases, these new users have been using an alternative design tool and should now afford software from Autodesk. Overall product subscriptions grew by more than 30% quarter-over-quarter with new subscribers coming from the legacy base from people previously pirating the software and from new customers switching from other systems. Particularly pleasing is that this strong performance immediately follows the end of sale of perpetual licenses for suites. We also had another record quarter for cloud subscription editions. They nearly doubled from the second quarter which was also a record. BIM 360 and Fusion 360 once again are leading the way, but we also have continued to have success with our other cloud products such as AutoCAD 360, Shotgun, and Collaboration for Revit. It is clear that we’re building on our leadership in the cloud and that cloud services are growing in importance with our customers. We see the benefits of the cloud’s inherent scale and connectivity. For example, during Q3 we signed a large BIM 360 contract at a global construction company. Last spring, they started a pilot program, less than 200 seats for new projects. Working with them on their implementation drove rapid adoption. Their results were so strong that they signed the seven figure agreement, expanding their use of BIM 360 Glue, Field and Docs to additional projects, reaching over 2,000 subscriptions in just one region. Now they are planning to scale their BIM processes even further, eventually using BIM 360 for all projects in all regions. Maintenance is our other significant subscription bucket. During the quarter, we included for the first time 13,000 maintenance customers from our acquisition of Solid Angle. As you already know, July 31 was the last time customers could add maintenance to a perpetual license, so the incentive to stay up to date with existing maintenance contracts is compelling. In Q3, the renewal rate for maintenance subscriptions was strong, ahead of last year. But with no new maintenance agreements being sold, total maintenance subscriptions declined. As we’ve said before, we expect to see ongoing declines in maintenance subscriptions going forward. The rate of decline will vary based on the number of subscriptions that come up for renewal -- the renewal rate and our ability to incentivize maintenance customers to switch over to product subscription. This migration is good for both Autodesk and our customers as it moves them to our newest and best products. While we are still working through the timeline, at some point, we will further simplify our offerings and the maintenance subscription and product subscription offerings will converge into a single program. Now, we will get into ARR. New model ARR growth surged to 91% on a constant currency basis, and reflects the continued strong uptake of all of our new subscription offerings. Total ARR grew 15% at constant currency. ARR growth was negatively impacted this quarter by the allocation of our market development funds, which are accounted for as contra revenue and booked upfront in each quarter. Prior to Q3, these funds were allocated across all revenue streams. But the end of perpetual license sales, a 100% of our market development funds are now allocated to recurring revenues in ARR. This impacted ARR growth by 3 percentage points or about $40 million. FX rates also continued to be a headwind for ARR in the quarter. The combination of FX rates in contra revenues reduced total ARR by about a $100 million or 7 percentage points in Q3, which was sizable. Despite those headwinds, we remain confident in our ability to achieve our FY20 ARR CAGR of 24%. I mentioned last quarter that some of our moves to drive subscriptions in ARR revolve around pricing. In early September we made changes that rationalized the pricing of AutoCAD LT, AutoCAD and the AutoCAD verticals. The aim was to drive customers to the right product for their needs and do so with higher billings and ARR. I’m pleased to report that these actions are motivating the intended customer behavior. More LT uses are buying [technical difficulty] AutoCAD and the volumes for AutoCAD and especially AutoCAD verticals increased significantly quarter over quarter. For the overall AutoCAD family of products volumes and ARR increased because of these price changes. We focus on subscriptions in ARR as a key metrics to measure our progress in the business model transition. However we have received many [technical difficulty] question on trends in annualized revenue per subscription or ARPs. So I thought I'd spend a little extra time on it this quarter and we’ll spend more time on it at Investor Day next week. Let's start by focusing on new seats added in Q3, excluding the promo seats, as they have the temporary effect of depressing ARPs and so their renewals which will be at the full price. Suite and collections in the U.S. saw a year over year increase in ARPs of 24%. In Germany the increase was plus 79% and in Japan it was plus 26%. AutoCAD LT in the U.S. saw a year over year increase of plus 9%, in Germany the increase was plus 55% and in Japan 50%. The AutoCAD family which is the sum of the newer AutoCAD and the vertical AutoCAD for the U.S. saw a year-over-year increase of 8%. In Germany the increase was 13% and in Japan 78%. Because of the strong year over year changes for new seat purchases the charter over quarter ARPs change for the sum of AutoCAD, AutoCAD vertical and AutoCAD LT in the U.S., Germany and Japan were 5%, 35% and 64% respectively. This was simply the result of more people buying vertical AutoCAD than vanilla AutoCAD and more people buying AutoCAD instead of AutoCAD LT. Exactly the result we were looking for from the pricing change and why we generated more volume in ARR from the AutoCAD family. These are very positive outcomes. In fact except for a few emerging markets in Europe we see essentially the same trendlines everywhere. So why aren't these results reflected in the aggregate ARPs number we report? There are two primary reasons, first the calculation is extremely sensitive to mix in the early stages. Small numbers exaggerate the effects of short term shifts internally, geo mix, promotions, et cetera, until it starts to normalize when the number of customers is large enough. Secondly, the method we use to count ARR and subscription is very sensitive to timing within the quarter. On an as reported basis ARPs can significantly understate the value of a subscription. The net-net of all this is that fundamental business drivers are very positive, but the aggregate ARPs of the company is declining because the various mix impacts, calculations around ARPs, FX and the constant revenue impact of market development funds. In fact factors such as mix drove about 50% of the declining ARPs trends. We expect these impacts to converge to a steady state and that’s when you’ll see aggregate ARPs begin to increase again. We will provide more insight into the components of the new model subscriptions as they mature into a bigger base next year. I know many of you are keenly interested in this area and we will spend a lot more time on this at next week's Investor Day. Total direct revenue also increased as a proportion of total revenues to 29%, up from just 17% two years ago and 25% last quarter. As we continue to grow the volume of business with both our large enterprise customers as well as our e-store. On the expense side we continue to prudently manage spend. Total non-GAAP spend decrease by 2% year-over-year, this marks the third consecutive quarter of decreases as we diligently control our spending. We had already committed to keeping our FY18 spend flat with FY17. We are now committing to keep our FY19 spend flat as well. This will require some additional effort, but we believe it's the right thing to do at this stage of our transition and that we can do so without compromising the long term health of the company. We also remained aggressive with our stock buyback program in Q3, buying back 2 million share with an average price of $68.74. We have now repurchased nearly 7 million share this fiscal year and plan to remain active buyers through both programmatic and opportunistic needs. This is another area, we will discuss in greater depth at our Investor Day on December 6. Overall, we were extremely pleased with our Q3 results. We have increased confidence that the transition is working for customers, partners and Autodesk and that we are on track for the FY20 targets we set. Turning to our outlook, as we’ve seen over the past several quarters, global conditions have held steady with most of the mature markets performing relatively well while many of the emerging markets have been challenged. As we evaluate our strong Q3 results, and look ahead to Q4, we don’t see any meaningful change in the demand environment. Talk of increased infrastructure spending and tax reform in the U.S. would likely benefit Autodesk, but it's far too early to determine if the election results will have a material positive or negative impact on our business domestically or abroad. Our view for the rest of fiscal '17 remains positive. Our revenue and EPS results were slightly better than we expected in Q3. Q4 typically experiences a sequential increase due to seasonality. And we expect to see that again this year. But keep in mind that Q3 revenue benefited from $38 million in backlog from the end of sale of a perpetual suite at the end of Q2. Since we’ve ended the sale of most perpetual licenses, backlog is now zero and it won't be a material contributor going forward in the subscription only model. We feel great about the way subscriptions are trending and now that Q3 is behind us, we are bringing up the bottom end of our previous range for subscription additions and we are on track for the spend target that we lowered last quarter. When we started down this transition past three years ago, the objective was the same as it is today, build long term shareholder value and establish Autodesk as the leader of the next generation of design and engineering software. We are accomplishing these goals in three simple ways; one, we are increasing the life time value of every estimates by moving them to subscription models. Two, we are changing our cost structure by focusing our product portfolio and go to market strategies. And three, we are building the best cloud and mobile based products and services in the industry with significantly expand our TAM as the underlying technology platform shifts to the cloud. Next week at our Investor Day Event, we’ll provide further detail on significant items on our past to our transition goals including $6 in free cash flow per share in FY20 and $11 in FY22. Some of the items we’ll cover include an update on the transition overall, focus areas that achieve the 20% growth in subscriptions and 24% CAGR in ARR. The factors includes ARPs, TAM expansion opportunities in construction and manufacturing and success with our cloud offerings. The evolution of our go to market strategies to align with the subscription business, recent operating changes that will increase our access to foreign cash and dramatically increase our financial flexibility, and our thoughts on capital allocation. To round things up, we couldn’t be more excited to be finally in the subscription only model. We’ve executed well over the past few quarters and we’re looking forward to finishing the year strong. Our vision and strategy are working. The business model transition is ahead of plans and we are leading the industry in delivering cloud based software for the next generation of design and engineering. With this quarter we become more confident in our ability to increase shareholder value by creating a more predictable recurring and profitable business and achieving the goals we set out for FY20, for subscriptions ARR and cash flow. Operator we now like to open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question for today comes from the line of Saket Kalia from Barclays.
Saket Kalia : First just sort of a housekeeping question for you Scott. Can you just remind us what market development funds are from high level and what sort of dollar amount we should expect that to be on an annual basis?
Scott Herren: Yes, sure. Saket. So market development funds are common to every company that sells through a value added reseller channel. So it's in effect demand generation dollars, it's money that we make available to our resellers for them to go off and drive demand -- presales demand for the product. So it’s not a new program, we’ve had market development funds for years. I think what's changed this quarter is the way those market development funds are allocated. They are not treated as an expense, they are treated as a contra revenue, meaning they’re subtracted from our reported revenues. It runs $10 million to $11 million a quarter, and so historically what’s happened is that was allocated pro-rata to the sales through the channel which were heavily driven by license sales. This quarter of course, there is no license sales, so all of the market development funds, the same amount we've always spent, ended up being allocated for the first time to recurring revenues, and so the $10 million or $11 million per quarter when you annualize that of course is between $40 and $45 million for the year. So first time, we've seen that effect on recurring revenue was this quarter and I would expect it to stay in that range going forward.
Saket Kalia : Understood, that's very helpful. And then for my followup, and I'm sure this is going to be something that we talk about a lot more next week, but how sensitive is the long-term model to mix, meaning can you just talk us through qualitatively maybe how different the mix is across the product ranges in this first quarter with total subscription compared to what you are modeling in that $6 per share in free cash flow, and maybe just qualitatively how much leeway do you have with that mix?
Carl Bass: Let me start with this and Scott feel free to jump in. We have a variety of mixes that we try to talk about, one was about certainly product mix, one is about geo mix, there’s others like term length, and then there are very specific things, the difference between for example, EBA’s and maintenance. Those numbers look different as well as certainly the cloud revenues look different. So those things matter a lot, we have a fair amount of flexibility, we understand the price range that these things will come in. Right now we’re actually above the plan for where we expect it to be and one of the things I tried to do in the middle of the prepared remarks, give you a little bit of information about what’s selling on a like-for-like basis. So that’s were -- those were those quotes in the middle, all about how much more people are paying this year or this quarter compared to the previous year or the previous quarter. And we thought it was important to really compare the like-for-like, so that people could understand it. One of the things we also mentioned is, going forward we’ll start breaking this out for you, having an average of averages of averages is way too confusing as we’ve all seen. I think, the folks at Goldman did a nice job at breaking out the model in their most recent report and I think they did a nice job of looking at the stuff we did, though it’s not identically our model, it’s closing certainly has the major effects in there, and a good understanding of the time and mix we anticipate seeing and the price ranges. So maybe that helps a little bit. We’re going to spend a lot more time next week walking you through this, but hopefully that’s a start on the problem.
Scott Herren: Saket, the other thing that I would add to that is, I think mix is a bigger effect on ARPs right now than it will be longer term, you just need to look at the ARPs for maintenance and you’ll see it’s far more steady, because it’s a much bigger base of maintenance subs, so as the base grows, mix will become slightly less important. I think longer term, the more important metric than ARPs is ARR, and so one of the things we’ll look to do is provide you better insight into where we think ARR is headed, so that ARPs calculation becomes slightly less sensitive.
Carl Bass: Next question operator. Karen are you there? Okay, we seem to have lost the operator. Hang on one second while we try to reconnect to her and see if we can keep the Q&A moving.
Scott Herren: This is a first for me of all the earnings calls I’ve done, I’ve never had this happen.
Operator: I’m here now. Our next question comes from the line of Steve Ashley from Robert W. Baird.
Steve Ashley: I would just like to ask on the promotion, if you could give us some color on how much of that might have been direct versus indirect and what role the e-store might have played in the performance there?
Scott Herren: Yes Steve, the promotions, you know Carl laid out the success of the 43,000 subs that came through the promotions. It was almost entirely driven through the channel versus through the e-store.
Steve Ashley: Okay, perfect, and then I would just like to ask about collections and I realize they have not been out very long, but with that you introduced multiuser pricing and that's kind of the first time that's been out there. Wondering if you've gotten any early response to that or if there is any early color you can provide on that new pricing option.
Carl Bass: You know it's still early. We're trying to replicate some of the things that we had in the previous model. But really I mean it's only a quarter worth of data, so we'll update it more as we go through next year. But we know it is one of the things that customers really want. It's one of the important things you know that whole middle bulk of our customer base has multiple seats , and while we offer lots of flexible offerings for people with large number of seats through the EBAs, people are also looking for it in here, so we’ll update you as we go.
Operator: Thank you, and our next question comes from the line of Heather Bellini from Goldman Sachs.
Shateel Alam: Hi, this is Shateel Alam filling in for Heather. Thanks for taking my question. First question was just on new model ARR. That increased by 43 million, I'm not sure if you specifically broke out what the MDS impact was for specifically new model, but first could you break that out and then also last quarter’s new model ARR increased by 63 million, we're expecting it to increase in size again this quarter, going forward now that your subscription only should we expect new model ARR increase of each quarter to get larger?
Scott Herren: Yes Shateel, the overall amounts that ARR was affected by the allocation of MBF, again MBF not a new program, but it’s the first time it's really been heavily allocated, exclusively allocated to recurring revenues that’s why we're seeing the impacts so pronounced in this quarter, it was about 40 million on the overall, if you split that between how much was allocated to new model versus maintenance. It's about 6 percentage points on a year on year basis about six percentage points of growth for the MBF impact on new models and about two percentage points of growth reduced by MBF being allocated to maintenance. So overall it was three points, but if you split it between the two it was about six on new model and about two on maintenance.
Shateel Alam: I just had one follow up on collection. Suites used to represent 30% of your revenues, I'm wondering over time do you expect Collections to also end up representing 30% of total new model ARR and how long do you think it would take for that to ramp to that level?
Carl Bass: My best guess is that it will be less because of the additional offerings we'll have with you know the cloud offerings and the consumption services tied to things like collections, so I think it will be less, but not substantially so.
Operator: Thank you, and our next question comes from the line of Jay [indiscernible].
Unidentified Analyst: Carl, I'd like to ask you, for my first question a technology question stemming from [indiscernible] University a couple weeks ago, particularly if you could try some of your technology disclosures from two weeks ago to the longer term business implication, in other words, you have some very interesting things to say I thought about your future architecture with the quantum project, you talked about. There are numerous references to what you talked about as a common data environment, new architecture and so forth. So talk about the commercial implication and commercial plans for that as you showed two weeks ago and what that needs for the next number of years in terms of the business model? And then a selling follow up question.
Carl Bass: Yes, sure Jay [ph]. I mean this goes back a number of years, we have firm believe that engineering software is going to move to the cloud, all design and engineering software will be in the cloud. We started to demonstrate that with the number of products we talked about some like BIM 360, we’ve shown kind of the basic architecture with products like Fusion 360 and how they take advantage of the connectivity and the compute power of the cloud. So we started to demonstrate that and we started investing in this area three or four years ago. As I have said before while everybody is rightfully focused on the business model transition of our existing business and how we are using it to attract new customers, what I think people will must be surprise about as you look out the next couple of years, if the size of the cloud business that we build, and how we really expands our TAM. So we are going to spend a bunch of time next week showing a little bit more, you were at AU and got to see it, we’ll try to put kind of a an investor look on it, so that people next week can understand what we are doing and what the important is, and why we are investing in the cloud and why this really is the next generation architecture. I have talked in the past about being a place for collaboration as well as giving access to virtually unlimited amounts of compute power which is something our uses demand and so it’s just a natural fit. It's unusual that engineering has been one of the slowest to move to the cloud, but we see lots of evidence of hitting the tipping point, not just in the U.S. but other places in terms of customers willingness to adopt it. And so next you’ll hear a bunch more.
Operator: Thank you. And our next question comes from a line of Gregg Moskowitz from Cowen and Company.
Gregg Moskowitz: Carl, thanks for the additional information on ARPs during your prepared remarks, having said that given where you are today, you do have a lot of grounds and make up to reach 24% ARR CAGR by fiscal '20, can you elaborate on what gives you the confidence that you get there?
Carl Bass: Part of it is -- the calculation method we chose gives great certainty and repeatability, it's very auditable, but it is a method that can greatly understate the amount of revenue coming in. So one of the things we do and we’ll walk you through this example, but what we actually do is we take the revenue that comes in for the quarter, the recognized revenue which if it's particularly back end loaded, can be close to zero, and we divide it by the number of subscribers at the end of the quarter. So in the extreme if somebody -- so for example, I’ll use one example that’ll illustrate two points, the promotions were very heavily backend loaded. So you have a low phase offering that’s discounted, coming in very close to the end. So what you might get out of that is one day out of 91 worth of revenue, we’ll call it four days out of 365 or slightly less than 1% of the revenue that that subscription is worth, but we divide it by a whole subscriber. So it greatly under stakes the value. Even as we go through this it will normalize as Scott mentioned because the numbers come up -- the numbers get larger and you’ll get the same effect moving from quarter-to-quarter. In the beginning it's very sensitive to mix its very sensitive is to timing. So we’re ahead of our plans from where we want to be and while I understand that some people are paying lots of attention to ARPs, I think the better thing to look at going forward and we’ve tried to stress it as ARR, as Scott mentioned we’ll start giving you guidance on ARR and on the ARPs one we’ll start breaking it out so you don’t have to be guessing at the co-efficients between what’s in cloud, what’s in EBA, what’s in product subscriptions and even in the subset that's something like the legacy promotion. We think we can help you understand that a little better, again I'll tell you again one of the reasons we gave the numbers in the middle of the prepared remarks about like-for-like was to show you the increase in pricing that we were seeing and that was both -- there were some numbers that were quarter-over-quarter and somewhat year-over-year and we’ll detail that a little bit more next week at Investor Day, so you can see the thing. And what we think is the like-for-like is the best comparison.
Gregg Moskowitz: Okay, perfect. Thanks for that detail and I agree that will be helpful and I look forward to that. And then just one for Scott, any update on the timing to potentially change the segment classifications on product subscriptions and EBAs from the hybrid approach to 100% subscription on the income statement?
Scott Herren: Yes, Gregg fast enough [ph] on that. I would love to have that done now. I think I mentioned on this call last quarter the complication we’re doing it is, it’s not the revenue side, it’s the cog side. We working that very carefully, so the goal will be to end up with three revenue lines instead of the two that we have today, because I recognize the confusion it causes. The three lines would be one for maintenance revenue, one for subscription revenue which ties the new model and one for kind of license and other. As there will still be a small amount of license revenue that comes in. We’ll have to go through of course it carve up differed revenue and then new revenue going forward, so my goal is to get that done as quickly as possible, I'd look to roll that out next year.
Operator: Thank you. And our next question comes from the line of Keith Weiss from Morgan Stanley.
Stan Zlotsky: This is actually Stan Zlotsky sitting in for Keith. Thank you for taking our questions. So how much of the churn on maintenance subscription base was driven from maintenance subscribers moving over to desktop subscribers, and a quick follow up what happening with OEM and what are you thinking with the latest on pricing for the maintenance and enticing those customers to move over to become full product subscribers? Thank you.
Carl Bass: So on the first part we don’t know exactly, we use an estimation method that's fairly manual in order to do this and so we’ll try to explain this a little bit next week, but we don’t actually know exactly how many set through manual process. And we don’t automated it because that will make less and less sense going forward. While I think I understand the second question was about conversions of the programs?
Stan Zlotsky: Yes it’s actually, are you driving pricing increases to entice people to move over from maintenance or are they doing it voluntarily through seeing a greater value proposition of those products or is there a third option [multiple speakers] thinking about?
Carl Bass: I think both on right now, and an ongoing basis it’s going to be a combo of the two. We’ve some incentives to move people forward we choose to go early. But a lot of it is a value in the new offering, which is the latest and includes large aspects of the cloud in it and gives you those additional flexibilities. So we think there will be a little bit of a push and a little bit of a pull.
Operator: Thank you. And our next question comes from the line of Richard Davis from Canaccord.
Richard Davis : If I’m a firm that’s decided the switch to the cloud, to what extend should we thinking about -- is there any risk because this happened with Oracle to some degree, is there any risk that I would consider other cloud option, I mean obviously yes, but have you seen any kind of data that would say, that’s an issue or is more just like, listen we’re going to switch and when we switch I have all my model in Autodesk so I’m just going to go to your new model? Thanks.
Carl Bass: On the cloud stuff Richard, in terms of having mature viable cloud products to both the AC industry and manufacturing. We’re really the only one that have it. You can look out and see some small startups that barely having interaction. We probably have three orders of magnitude, may be four orders of magnitude more usage in the cloud then they do. So I think for people who are deciding that the cloud has real benefits, I think Autodesk is the natural choice. We’ve detailed a little bit at previous times, where we said, more than half and sometimes it was three quarters of the users of Fusion are coming from other mechanical CAD packages. So it’s not just our users, who are adding on cloud capabilities, it’s really to attract new users. The second part of it is, one of the things we did when we introduced our cloud products is we made sure they weren’t only direct competitors with what we already did. But it was to extend the market. So if you look at BIM 360, BIM 360 wasn’t a replacement for Revit, it was to extend having model based design go all the way out to the job site and reach all the construction workers. Those are the kind of things we’re trying to do, is expand the reach of our products, because of the more natural platform. And I think you’ve seen the same things in other parts of enterprise software with SaaS offerings, where people are expanding into parts of the company, that their legacy applications would have never go to. And I think it’s identical in the design and engineering world.
Operator: Thank you. And our next question comes from a line of Sterling Auty from JPMorgan.
Sterling Auty : Carl, your prepared remarks you did touch upon the infrastructure possibility in terms of the new administration. Can you level set for us if you were to just give us a rough estimate, what percentage of the Autodesk business at this point is infrastructure related and how should we think about that within the U.S.?
Carl Bass: You know just for construction or broadly speaking the AC business, think of it as roughly around 50% and then you can take the fraction that's the U.S. part of that and go from there. And of course Mexico's going to be building the wall, so I guess we can extend to the rest of North America. So that's about the reach of it, you know it's the American part which is about a quarter on about 50%, something like that. I'd put it in the 10% to 15% range.
Sterling Auty : Okay fair enough and then can you give us an update, so you touched upon the e-store a couple of times, the Analyst Day last year you talked about a lot of the improvements that you were making in North America the initiatives to move international with the e-store, where are you on those initiatives and you know are you at a point yet where you can start to break out how much of the revenue is actually coming through the e-store.
Scott Herren: Tell you what Carl I'll start and you can jump in. We have -- of course e-stores everywhere, we’ve launched our own e-stores now across North America and in most of Europe. The e-store continues to grow. We talked about the proportion of our sales that were direct versus indirect grew to the high 20s this quarter, I think 29% up sequentially from 25% just last quarter and 17% a year ago. So it continues to grow as a proportion of total sales and I think we'll continue to see that happen not so much because we're guiding people there, it's that style -- when you get to a subscription model buying direct is a style of interaction that customers want to have with the company much more so than when I renewed my subscription to the Wall Street Journal, I don't walk down to a bookstore to do that. I go to WSJ.com and do that renewal and I think we're going to see more of that business move in that direction.
Operator: Thank you and our next question comes from the line of Monika Garg from Pacific Crest Securities.
Monika Garg: Hi, thanks for taking my question you know how much revenue in the quarter came from indirect channel and where do you think channels could be as percentage of revenue over the next couple of years.
Scott Herren: Yes, Monika that's the data point I was just trying to give. So the direct channel in the quarter was 29% of sales and up from 25% last quarter, where that goes longer term it actually is a topic that we'll talk about again next week, but I don't think our view has changed much from the perspective that we had a year ago, which was as we get off the fiscal '20 we think the channel continues to be a significant part of our sales in terms of absolute dollars we think there are more dollars of sales going through the channel in fiscal '20 than there were in fiscal '16. But in terms of a percent of pie, the percent of the total sales that get done, it'll be a smaller percent by the time we get out there. So I think we'll see a case where the channel has a place where absolute dollars of revenue growth, by the way probably fewer channel partners out there than we have today, so it's a more profitable business for the channel partners that remain but as a percent of product sales it will come down pretty significantly from where it is.
Monika Garg: Got you, thanks. I have a question, on the final call Carl you talked about a lot of question on that already on the call. So if I look Q-over-Q ask for new model are down almost 10% in spite of the fact that collections were slow on subscription due to higher our revenue of per suite items, so why would that be the case and then, seven straight quarters of ARPs for new model being down?
Carl Bass: Generally speaking we have continued to add lower price products as we build this out. We started with the lot of EBA, we started with a lot of transactions going through the e-store. But we also went through, when you have backend loaded quarters, you greatly understate the value of that subscription. It's why during the thing I try to breakout how the prices were increasing for like-for-like products going forward. And I think that’s going to be an important one. What you are getting is, you’re trying to look at in average and guess the component pieces and rather than having you guess what we said we would do next year, is break it out so that you can actually see. In the interim what we did is we gave you some numbers for showing that the prices are actually increasing, even if the calculation methodology in the mix is heading down. As we said just some of the mix issues were responsible for 50% of the decline, so mixing time plays a big role here and remember how I just described that calculation that if you buy something at the end of the quarter for example on the last day, it greatly undervalues what that subscription is worth over the long term. At the quarter end which we had a fair amount of promotion and the promotion was backed loaded, you are going to see that. But I’ll reemphasis again, the prices of like-for-like, for people buying the same thing that they bought last quarter or a year ago, those prices are going up significantly. And I highlighted how they were going up significantly across the world.
Scott Herren: Yes, Monika what I would add, and again we will spend more time on this next week. If you go back to new model subscription sales a year ago, it was a small number, they were largely in mature markets, healthy mix of monthly and annual as well as many of them came through the e-store, the channel is still largely focused on selling perpetual licenses at that point. What we have seen over the last several quarters is a pretty significant uptake of new model subscription sales and I am talking about products subscription sales now, pretty significant uptake of those in emerging markets, which I think is healthy for the business. Certainly I would expect some of those to be recapture of pirates in those emerging markets, but as that happens of course those are lower priced, so that’s a headwind on ARPs. We see a lot more long term sales of product and lot less monthly, frankly we had a lot of tow dippers coming in monthly previously, previously we now have a lot more annual and multi-year. Again good for the business, but that monthly subscription price is about 50% higher than the annual subscription price, the monthly times 12 is about 50% more than annually. So that mix shift again good for the business not necessarily good for ARPs, it’s a headwinds, and then as the channel has gotten really engaged and is driving this, so a higher proportion of the sales of products subs come through the channel then a year ago were many of that things sold off to e-store again I think that's a positive for the business it gives us scale but it cuts into ARPs. So three trends that are very positive for our business and positive for the long-term ARR growth, but all that cut against growing ARPs in the short-term.
Operator: Thank you. And our next question comes from the line of Ken Wong from Citigroup.
Ken Wong : Carl you mentioned the convergence of maintenance and rentals early and I think you might have been heading down the path on one of the earlier questions, but could you give us some color on some of the moving pieces of that particular convergence?
Carl Bass: Yes, there are number of things that we've talked about. So one is if you look out to kind of call it FY’20 we want to be in a place where first of all we have really a single kind of offerings with a single back office and infrastructure to support it. One that will be a combination of subscriptions, product subscriptions as you see it plus a consumption model on top of it. That's where we see the business heading. Along the way it's how do we motivate customers to move from one model to another that’s actually in the program, what are the price points, how does that transition working and we’ll talk a little bit more about this next week. But in our mind getting to a single model is really important, it will give the best service to our customers it will be the most affordable us to have, we can start getting rid of some of the systems that were designed for a different era and be able to really concentrate on giving a world class experience for what users are trying to do today. So as we go through the next couple of years we’ll talk about how we do that and how we do that the most prudence and responsible way.
Ken Wong: Got it, looking forward to next weekend then. And then building on Stan's question around maintenance and just renewal, any rough sense of the magnitude of renewal that are coming up in Q4 relative to Q3?
Scott Herren: Yes, sure Ken. So renewals tend to be on the anniversary of when the license was sold and of course Q4 as far has been our biggest quarter, we've sold the most perpetual licenses over -- if you look back over the last several years we saw the most in Q4. So we have a significant renewal base that comes up during Q4 that I would go back though and highlight what Carl mentioned in the script, renewal rate is actually stronger this year than it was last year. So yes we're seeing a decline to the absolute numbers, but it's not driven by decline in renewal rate, it's driven by the rate at which the maintenance agreements come up for renewal and then in some cases we are incentivizing them and successfully moving them over to new model.
Carl Bass: Yes, we’ll also see an effect in Q4 some people moving to EBAs. As we've talked about we are really encouraging our large customers to move to EBAs and there is an issue in which we don’t count the subscribers until the following quarter. You might have seen this in Q1 of this year and the same phenomena will go on. So particularly if someone goes from being a large maintenance customer to an EBA customer you will see some of that attendance to depress the number of maintenance customers and you will see the corresponding increase, but you won’t see it till Q1.
Operator: And our next question comes from the line of Steve Koenig from Wedbush Securities.
Steve Koenig: I apologize if this question has been asked, hopefully it hasn’t. I’m wondering if you could elaborate a little bit on your expectation for subscriber -- subscription counts, which implies acceleration in the out years. May be if you could give us a little color on -- or a ranking of the factors that will drive that, when you think about things like piracy and cloud et cetera. What’s going to drive that acceleration that you guys are looking for and to what extend are you starting to see those things kick in?
Carl Bass: So in the kind of the existing business, what we’re really looking for is the three places we saw at this time, one was legacy, one is piracy and one is new customers. And I think we’ve seen this effectiveness. We’ve been able to detail the effectiveness of the legacy programs very specifically. Piracy is a little bit harder, unlike legacy where people claim to be a legacy customer, people don’t claim to be former pirates. So it make it a little bit difficult to identify them as former pirates, but we do have our ways. I expect to see more from that and like we said about a third of the customers coming are new customers. In terms of the other things that we see is, good growth amongst our enterprise customers in terms of EBA’s in the size of those and then the whole new category of cloud customers and consumption. So you both have cloud customers and then consumption models where people kind pay as they go for various services. Many of them will be tired directly to cloud products but many will be consumption, based into things like the Collections. So for example if someone is doing simulation or rendering in a collection, they will get some amount with it and if they wanted use extra they will pay as they go. So that’s where we’re expecting to see that.
Steve Koenig : Got it, I’ll leave it at that, thanks Carl.
Carl Bass: And next week you’ll see a bunch more about it, but right now our cloud business is doing incredibly quickly, we’re really pleased with the growth we’re seeing in the cloud business. We’ll talk more about which customers we’re getting with the cloud business and why that expands the margin.
Operator: Our next question from the line of Brent Thill from UBS.
Brent Thill: Carl you mentioned a third of the subscribers are now coming from new customers. I’m curious what may be most surprising to you, what you’re seeing in terms of switchers from the competition, Greenfield, old users, pirate, how do you put the community together and highlight where you seeing the strongest numbers of new users coming into the platform?
Carl Bass: I probably put in, probably in that category, I have to guess, like I said, right now we’re doing a bunch of manual work to figure out all the new customers, how many were really free [ph] we’ve seen before versus those who pirated the software. So we’re trying to understand that dynamic a little bit more, and then we’ll talk a little bit more about that. As a rough guess, one of the ways to think about it, we’ve talked about this before. For every legitimate user out there, there is about one, slightly more than one user who's not paying for the software, so my guess would be, as we made some of these offerings more affordable from an upfront perspective we're attracting a fair number of the pirates. So the piracy base is probably bigger than we originally anticipated, you know kind of last year when we laid out these goals. The second thing is the legacy base is probably bigger than we laid out last year at this time. We saw it in terms of the distribution throughout the years again you know the mid-point is again around seven years. So we're seeing a fair number of people who are historical users. So on both those fronts we're kind of pleased. You know the Greenfield is a little harder to identify for certain, the other ones we have a better chance at, but we'll give you a little bit more color on this as we go and we get the numbers. Like I said at a certain point it won't actually matter, but we are looking at both piracy as well as maintenance customers who are moving over.
Brent Thill: And just a quick follow up, you've been talking a lot about you know the make process, you can bill it, but then you got to make it and you mentioned in the past it hasn't been a big -- maybe as big a piece of revenue could be a lot bigger in the business. Can you maybe just update us in terms of what you're seeing on that core area?
Carl Bass: Yes. So for example you know a lot of -- I mean we're seeing a number there, in the AC area you know particularly with products like BIM 360, BIM 360 really is communicating with all of our nontraditional customers involved in the process. If things like our structural analysis software for the architects and engineers BIM 360 encompasses the entire workflow, all the way from architects to general contractors, to subcontractors and next week we'll go through a bunch of deal, a bunch of what we're doing there and how it's reaching people that are actually on the construction site, building stuff. When you look at the other things like manufacturing Fusion 360 as well as all of our advanced manufacturing products are really very specifically about you know the next part of the process, I’ve kind of joked, but we're helping people make beautiful digital prototypes things that stay on that side of the glass, but you know our customers get paid for making real things. And so what we started doing a number of years ago is starting to helping them in that process, of taking it from one side of the screen to the other side of the screen and we have you know lots of stuff going on in composite materials, a lot we have going on with machining, communicating on the factory floor as well as the construction site, those are all expansions of the market and we'll spend a fair amount of time. We generally spend most of our time and probably appropriately so, as people have been very interested in the business model transition, but like I said this is a growing and very important part of the business and as people look you know to the next couple of years they’ll become increasingly important. So we'll give you some more details.
Operator: Thank you, and that concludes our question and answer session for today, I would like to turn the conference back over to Autodesk management for any closing comments.
David Gennarelli: Thanks Karen, that will conclude our call today, as Carl mentioned we do have our Investor Day next week, next Tuesday the 6th, it's going to be at our gallery in San Francisco and after that we'll be at the Barclays conference in San Francisco on December 8th, if you need to reach me, you can reach me at 415-507-6033 or email me with any questions. Thank you.
Operator: Thank you. Ladies and gentlemen thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a great day.